Operator: Good morning and welcome to the WNS Holdings Fiscal 2023 Second Quarter Earnings Conference Call. [Operator Instructions] After management's prepared remarks, we will conduct a question-and-answer session and instructions for how to ask a question will follow at that time. As a reminder, this call is being recorded for replay purposes. Now I'd like to turn the call over to David Mackey, WNS's Executive Vice President of Finance and Head of Investor Relations. David?
David Mackey: Thank you and welcome to our fiscal 2023 second quarter earnings call. With me today on the call, I have WNS's CEO, Keshav Murugesh; WNS's CFO, Sanjay Puria; and our COO, Gautam Barai. A press release detailing our financial results was issued earlier today. This release is also available on the Investor Relations section of our website at www.wns.com. Today's remarks will focus on the results for the fiscal second quarter ended September 30, 2022. Some of the matters that will be discussed on today's call are forward-looking. Please keep in mind that these forward-looking statements are subject to known and unknown risks and uncertainties that could cause actual results to differ materially from those expressed or implied by such statements. Such risks and uncertainties include but are not limited to, those factors set forth in the company's Form 20-F. This document is also available on the company website. During this call, management will reference certain non-GAAP financial measures which we believe provide useful information for investors. Reconciliations of these non-GAAP financial measures to GAAP results can be found in the press release issued earlier today. Some of the non-GAAP financial measures management will discuss are defined as follows: Net revenue is defined as revenue less repair payments. Adjusted operating margin is defined as operating margin, excluding amortization of intangible assets, share-based compensation and goodwill impairment. Adjusted net income, or ANI, is defined as profit, excluding amortization of intangible assets, share-based compensation, goodwill impairment and all associated taxes. These terms will be used throughout the call. I would now like to turn the call over to WNS' CEO, Keshav Murugesh. Keshav?
Keshav Murugesh: Thank you, David and good morning, everyone. WNS's fiscal second quarter financial results continue to demonstrate the strength and resiliency of our business despite the challenging macro environment. Net revenue for Q2 came in at $289.3 million, representing a year-over-year increase of 13.7% on a reported basis and 20.4% constant currency. Sequentially, net revenue increased by 5.3% on a reported basis and 8.2% on a constant currency basis after adjusting for foreign exchange. Our acquisition of Vuram contributed approximately 3% to growth, both year-over-year as well as sequentially and integration plans remain on track. In the second quarter, WNS added 9 new logos and expanded 21 existing relationships. Sanjay will provide further details on our second quarter financial performance in his prepared remarks. Today, I would like to share a few illustrative examples of the positive impact's WNS' digital transformations are having for our clients. Last year, one of our larger insurance clients came to us with the requirement to reimagine several mission-critical business processes in order to help them improve their customer focus as well as market positioning. Key challenges for the client were elongated claims, meaning the life cycles around it, low customer experience scores, quality and scalability problems stemming from a heavy reliance on manual effort and the need for an improved digital transformation road map. Critical processes in scope included claims management from our customers' first notification of loss to recoveries and settlements, policy administration, underwriting, sales and service and the overall customer experience. Working closely and collaboratively with the client, WNS was able to co-create an end-to-end digital transformation program designed to meet and exceed their key business objectives. The final solution was developed using our design thinking workshops from our onshore as well as on-site innovation centers that we have spoken about in the past to reimagine key processes, digital consulting to understand requirements, intelligent automation to reduce manual activity and enable faster processing with lower risk, predictive analytics to optimize business performance and agile delivery to drive collaborative cross-functional execution with the client stakeholders. We deployed a combination of both proprietary as well as third-party platforms and digital tools, leveraging artificial intelligence, RPA, machine learning, cognitive, intelligent automation as well as gamification. As a result, WNS was able to deliver a 15% reduction in cost, an increase of approximately 20% in digital customer self-servicing, a decrease of almost 30% in claims processing time and an improvement in customer satisfaction scores from 6.8 to 9 out of 10. This shift to digital has driven an increased scope of services with this client and have jump started discussions for the addition of more complex and high-value opportunities. Similarly, for a large U.K. utilities client, WNS was asked to help with multiple business challenges which resulted from Brexit, the COVID pandemic and more recently, the impacts on gas and electric costs from the Ukraine Russia conflict. These disruptions resulted in spiking customer call volumes, long wait times and low first call resolution rates which in turn resulted in very poor customer satisfaction scores. The WNS' solution which leveraged our proprietary experienced digital platform as well as domain-centric resources, was implemented to address the client's needs across several customer experience channels, including voice, e-mail, chat, social media, messaging, web and mobile. In a period of approximately 12 months, WNS was able to help redesign the clients' web portal, significantly enhance their self-service model, embed analytics to improve interactions, optimize capacity and reduce end customer effort. As a result, the WNS experienced digital solutions drove an increase of over 50% in digital channel adoption, reduced customer wait time by more than 50%, increased customer satisfaction by double digits and reduced total costs by 7%. In addition, WNS has been able to successfully leverage the success of this solution to drive contract wins with both new and existing clients across multiple verticals. We believe that these 2 case studies are representative of the meaningful business improvements. WNS is now generating for all our clients with our digitally focused and transformational solutions. I would also like to provide you today with a brief update on our ESG initiatives. WNS continues to make strides in setting formal ESG goals, driving improved performance, reporting our progress and integrating ESG into our strategic objectives. Recently, WNS joined the United Nations Global Compact in support of achieving the 2030 sustainable development goals. The UNGC's social initiatives and environmental objectives are closely aligned with our company's values and the priorities highlighted in our most recent corporate materiality assessment. In addition, the company expects to sign our commitment letter with SBTi, or Science Based Targets Initiative this quarter which will include formal plans to achieve a net zero standard. From an operational perspective, we continue to focus on reducing our carbon footprint wherever possible. Over the past year, WNS has now shifted our facilities to green electrical energy in the Indian states of Maharashtra as well as Karnataka. As a result, 81% of our overall power consumption in India is now green or renewable. Plans are already in place to expand this initiative to our remaining locations in India as well as other countries where WNS has operations. We are also focusing on continuous improvement in our human capital management efforts, especially in the areas of training and employee development. We believe these investments are critical to the long-term health of our business. Providing a nurturing and healthy work environment and preparing our workforce for the future will enable WNS to continue to attract and retain top level talent and meet the changing needs of our clients. In fiscal 2022, the company provided over 4 million hours of training to our people globally, or an average of 86 hours for every WNS employee. In support of these efforts, the company spent more than $14 million on learning and professional development. From a reporting perspective, last month, we released our second annual corporate sustainability report and launched a dedicated online ESG microsite. These sources now include additional important ESG information and help make the company's policies, data and strategy easier to access. As we look into the second half of this fiscal year, we continue to see strong broad-based demand for BPM solutions as clients aggressively look to leverage technology and automation to improve their competitive positioning and reduce cost. This trend, we believe, will remain largely independent of the macro environment and WNS is very well positioned to capitalize on these trends by leveraging our differentiated capabilities and ongoing investments in domain, technology as well as analytics. The company will continue to focus on superior execution, best-in-class financial performance and delivering long-term value for all of our key stakeholders, including clients, employees, investors, suppliers as well as the communities that we live in. I would now like to turn the call over to our CFO, Sanjay Puria, to discuss further our results and outlook. Sanjay?
Sanjay Puria: Thank you, Keshav. In the fiscal second quarter, WNS net revenue came in at $289.3 million, up 13.7% from $254.4 million posted in the same quarter of last year and up 20.4% on a constant currency basis. Sequentially, net revenue increased by 5.3% on a reported basis and 8.2% on a constant currency basis. Our acquisition of Vuram contributed just under 3% to both year-over-year and quarter-over-quarter revenue growth. Our sequential revenue growth was driven by broad-based momentum with both new and existing clients and an increase in short-term revenue. These benefits were partially offset by currency depreciation against the U.S. dollar and reduced benefits from hedging. In the second quarter, WNS recorded $2.4 million of short-term revenue. Adjusted operating margin in quarter 2 was 20.4% as compared to 21.8% reported in the same quarter of fiscal 2022 and 21.1% last quarter. Year-over-year adjusted operating margin decreased as a result of wage increases and return to office costs. This headwind more than offset operating leverage on higher volumes improved productivity and favorable currency movements, net of hedging. Sequentially, margin decreased as a result of wage increases, return to office costs and higher SG&A driven by investments deferred from quarter 1, marketing and professional fees and bonus and incentive provisions based on improved performance. This headwind was partially offset by higher volumes improved productivity and currency movement net of hedging. The company's net other income expense was $0.9 million of net expense in the second quarter. The same reported -- the same as reported in quarter 2 of fiscal 2022 and down versus $0.2 million of net income last quarter. Year-over-year, increased net income driven by higher interest rates were offset by interest expense associated with our long-term debt taken in quarter 2. Sequentially, the unfavorable Vuram is the result of reduced interest income on lower average cash balances driven by our Vuram acquisition and share repurchases and higher interest expense driven by the new long-term debt position. WNS' effective tax rate for quarter 2 came in at 20%, down from 21% last year and down from 21.1% last quarter. Both year-over-year and sequentially, the reduction in our effective tax rate is largely the result of shifts in our geographical profit mix and changes to the mix of work delivered from tax incentive facilities. The company's adjusted net income for quarter 2 was $46.6 million compared with $43.1 million in the same quarter of fiscal 2022 and $45.9 million last quarter. Adjusted diluted earnings were $0.93 per share in quarter 2 versus $0.86 in the second quarter of last year and $0.90 last quarter. As of September 30, 2022, WNS' balances in cash and investments totaled $265.3 million and the company had $79.5 million in debt. In the second quarter, WNS generated $34.5 million of cash from operating activities and incurred $7.9 million in capital expenditure. In addition, the company paid net $144.2 million towards our acquisition of Vuram, repaid $31.7 million of short-term debt and took out an $80 million term loan for general corporate purpose. WNS also repurchased 358,000 shares of stock at an average price of $77.78 which impacted quarter 2 cash by $30.4 million. DSO in the second quarter came in at 30 days as compared to 31 days reported in quarter 2 of last year and 29 days last quarter. With respect to other key operating metrics, total headcount at the end of the quarter was 57,503 and our attrition rate in the second quarter was 41% as compared to 31 --34% reported in quarter 2 of last year and 49% in the previous quarter. The elevated attrition rate remained concentrated at the junior most level of the organization and focus on voice-based CX service in the Philippines, resulting from the return-to-office mandate. As in prior quarters, we do not believe that the current attrition is currently impacting our ability to service clients or accelerate growth. The company expects attrition to continue trending downwards over the next several quarters. Built seat capacity at the end of the second quarter increased to 36,401, including both organic growth and the addition of Vuram's infrastructure. In quarter 2, WNS continued our progress towards in-person operations, averaging 52% work from office during the quarter. In our press release issued earlier today, WNS provided our revised full year guidance for fiscal 2023. Based on the company's current visibility levels, we expect net revenue to be in the range of $1.110 billion to $1.150 billion, representing year-over-year growth of 8% to 12% on a reported basis and 14% to 18% on a constant currency basis. The acquisition of Vuram is expected to contribute 2% inorganic growth to fiscal 2023 and our top line projection assumes an average British pound to U.S. dollar exchange rate of 1.12 for the remainder of fiscal 2023. Consistent with our guidance approach in previous years, we currently have 98% visibility to the mid-part of the range which does not include any uncommitted short-term revenue or improvement in travel volumes beyond quarter 2 level. I also wanted to call out that our guidance includes the ramp-down of a large Healthcare process in fiscal quarter 4. Full year adjusted net income for fiscal 2023 is expected to be in the range of $186 million to $196 million based on an INR 82 to a U.S. dollar exchange rate for the remainder of fiscal 2023. This implies adjusted EPS of $3.68 to $3.87 assuming a diluted share count of approximately 50.6 million shares. With respect to capital expenditures, WNS currently expects our requirement for fiscal 2023 to be up to $40 million. We'll now open up the call for questions. Operator?
Operator: [Operator Instructions] And our first question comes from Bryan Bergin with Cowen.
Bryan Bergin: Wanted to just start with client contract behavior. Can you talk about sales cycles and pipeline conversion? And have you seen any notable change in activity over the last 3 months? Or has it been consistent? And can you also comment specifically on what you’re seeing in the U.K. and the Europe client activity, too?
Gautam Barai: This is Gautam and from the first part of the question, what we are seeing is the contract cycles are starting to reduce at the moment in terms of closure rates. What we are seeing is the pipeline continues to be exceptionally healthy across most of our verticals. Second, what we are seeing is the clients are reducing the time in terms of decision making. And thirdly, they want to go down the path of aggressive ramps at the moment. And this is across the board, whether it's the U.S. or the U.K., the increased demand continues.
Bryan Bergin: Okay. That’s good to hear. And then just on margin, can you break down in the second quarter kind of underlying margin change versus FX driven? And as you think about the second half, how are you projecting gross margin levels? And I guess, really, again, the underlying margin change versus FX? And did you have any change in that full year AEON target?
David Mackey: Sure. Let me take that, Bryan. When you look at the impacts to the quarter and I would assume you're looking at this sequentially for Q2. FX, for us, was actually a little bit of a tailwind on a net basis. Obviously, what we saw was most currencies depreciated against the U.S. dollar. And I think as most of our analysts and investors know, we have more exposure on the cost side of our business to foreign exchange than we do on the revenue side. So obviously, even though we saw significant depreciation in the British pound, our exposure on the rupee and the Philippine peso is much higher. So as a result, we had about 50 basis points sequentially of tailwind on the FX side. if you look at the real drivers for the margin pressure sequentially, it's the higher SG&A costs. And as Sanjay mentioned, in the – which relates to the deferrals and investments from Q1 which we discussed last quarter. And as Sanjay mentioned, the ongoing wage increases that we see and the recovery from COVID as we shift our business to increasingly back to work from office. When you look at the back half of the year and the implied guidance and margin, what you’ll see is that sequentially, both on a gross and on an operating basis, margin expansion, right? So when you kind of break this down in terms of the first half of the year versus second half of the year, we do see some of that pressure abating. And when you look at the first half of the year, we’ve averaged just under, I believe, 21% on an adjusted operating margin basis. The implied guidance that we have for the full year is for the second half to average closer to 22%.
Sanjay Puria: And maybe just to add that from an FX perspective in the quarter 2, to your question, it's going to be neutral because we are well hedged for the balance of the year.
Operator: Our next question comes from Maggie Nolan with William Blair.
Unidentified Analyst: This is actually Jesse [ph] on for Maggie. I had a similar question on the clients. You guys have talked about the Internet-based client segment before. How have those conversations changed in the last few months?
Gautam Barai: Yes. We've not seen any material changes in terms of the conversations with these clients. The committed ramps that we have been forecasting have gone on smoothly. The transition of lot of the work that we were taking in has been going smoothly. So where we see is the demand continues to be strong even within this sector, because where we play in within the sector is a specialized skill sets and specialized processes.
Keshav Murugesh: I just want to add that I know there’s a lot of noise out there about the upcoming recession and the fact that it could affect a number of businesses as a result. But the reality that we are seeing, as Gautam mentioned, is first and foremost, continued decision-making in terms of clients and prospects both for new processes as well as in terms of new business where, as opposed to following the traditional long sales cycle, we were actually surprised to see clients taking decisions faster, right? And so we’re hoping that trend will continue as clients probably prepare for a recession in the longer term. So that’s one. The second thing that we are very enthused about is that the investments that we have made over the past many quarters actually plays in extremely well into a weak macro or a potential recession and therefore, we actually seeing the opportunities for our business are much greater than the risks. And I think a lot of it has been borne out by the kind of conversations we are having with our existing clients who are now scampering to get more processes through the door quickly as well as new prospects who are saying, “can you help me make this transition faster than ever.” So I think the weak macro, first and foremost, is a real driver for accelerated adoption of BPM, we believe. We believe that digital demand is not discretionary in nature. And in fact, the cost element saving – the cost saving element is now going to start playing a bigger impact and therefore, for prospects and clients to interact with companies like us, who have actually invested in the back end in all of these things, is actually very positive from us and as well as their point of view. As well as we also realized that the switching costs is very, very high for any client and therefore, their ability to actually grow with us and their need to grow with us is actually high. So stability of services also is very, very high. So overall, I will say that, at this point in time, while we may all be talking ourselves into a recession, right? The reality is it’s all working extremely well for WNS.
David Mackey: Yes. And just to add a little bit of color to Gautam's comments earlier, Jesse. When you look at the Internet-based clients, I certainly think we might have a different philosophy if what we were doing for these customers was primarily on the CX or customer support side. But when you look at the types of work that we've been doing for Internet-based customers, whether it's procurement base, whether it's finance and accounting, whether it's core operations, we don't see that same level of volatility. So we believe that not only are our service offerings playing extremely well into the needs of these businesses, whether they're growing or not growing but also that we have very limited volume volatility with respect to these clients.
Unidentified Analyst: I appreciate the very comprehensive answer there. I have 1 follow-up on talent. So what would you attribute the decline in attrition to? Do you think it's a function of employees staying put these days? Do you think it's from the wage increases? What's going on there? And informing your expectations over the next few quarters?
Gautam Barai: Yes. In terms of the decrease in attrition over the last few months, we definitely expect the trend to continue. We do expect a little bit of volatility in certain job families but overall, we do expect to start seeing the reducing trend. One of the bigger reasons is the increasing talent pool at normalized wages in the lower end of the skill sets is what’s helping drive that area. The second one is the fear of the recession, as Keshav was mentioning earlier, is also making sure that people stay put in their jobs. And thirdly, in terms of the – thirdly is, in some of the other ancillary industries, the demand for similar talent have started to reduce. So, overall, all these factors put together, we definitely see attrition over the next few quarters to start reducing.
Keshav Murugesh: Yes. I'll just add 1 thing. I think employees and the labor market really they are smart people. when economists and everyone starts talking about recession and a looming kind of a problem for the rest of the world, they also realize which businesses are insulated from all of this. And it's really clear from their point of view, our business, even as opposed to the traditional IT services business is actually far more insulated. And I think a lot of these people are therefore working now to stay on with companies like us where they have a much longer potential to stay. And at the same time, some of the expectations that they have around wages, around carriers, around progression, around growth, around learning, all of that is being extremely well met to the investments that we have made. So I think it's a lot to do with that.
David Mackey: And just to add one other piece of color to – more to Gautam’s comment. Remember that part of the driver for the high spike in the attrition rate was the return-to-office mandates in the Philippines. And as we’ve gotten north of now 90% in-office in the Philippines and over the last 2 to 3 quarters as we’ve hired people into the company with the knowledge that they would be working from office, we’ve seen that attrition rate start to come down. So that’s also clearly part of the story.
Operator: Our next question comes from Mayank Tandon with Needham & Company.
Mayank Tandon: Congrats on the impressive quarter. I wanted to start with a question around the sales organization. I think from time to time, you guys have shared some metrics around that. So maybe if you could just speak to how big is the sales organization today, how fast you expect it to grow especially given that, based on your guidance, it sounds like growth is running above trend? When I look at the midpoint of the guide for the year, it’s 16% constant currency. I think, in the past, you’ve run maybe closer to low double digits, low teens. So would just like to understand how are you thinking about the sales organization and expectations to grow that to meet the demand?
Keshav Murugesh: Mayank, let me start. Have you finished your question?
Sanjay Puria: Yes. Sorry about that, very long-winded, I apologize.
Keshav Murugesh: No, no, no. That's a very interesting and good question. So let me start by, first of all, saying thank you for your congratulatory message. But I must tell you, our sales team is very, very busy, Mayank, right? And I think that really gives us a lot of comfort and confidence. First of all, we've got a very stable team at the leadership level across the globe. And the team that we've brought in over a period of time has -- is delivering exceedingly well. Everyone is super busy in terms of running a number of deals, many of which are very well bracketed in the large deal kind of segment. I think this whole talk about recession and this was coming doom and gloom that the world is talking about is actually playing and exceedingly well to our business model. So that's the first thing I'll say. And I think, at this point in time, we are very well positioned in terms of the number of people that we have and with the acquisition that we did recently, Vuram, it actually adds more depth and firepower and the potential for collaboration between that sales teams and the traditional WNS team also is very excited. I'll stop there but I'll ask Dave to talk a little more about some of the numbers or the metrics that you asked for.
David Mackey: Sure, Keshav. So I think we've talked a little bit -- I believe it was a couple of quarters ago, Mayank, about acceleration in the investment in the sales force. We ended the second quarter with 131 salespeople in the organization. And, to your point about growth, if you look at the size of the sales force, it is now 16% higher than it was 3 quarters ago. So you kind of have seen as that team matured and became fully productive, we have made the next step function in the investment into the sales force. And now the focus will be making these people that we've brought on over the last couple of quarters productive and delivering that accelerating growth going forward. So you're spot on. We have made those investments. We do see the growth opportunity and we are preparing for that going forward.
Mayank Tandon: That's very helpful. And just as a quick follow-up, in terms of the client wins, I think you had 9 new logos this quarter. Could you provide any insights into the size, scale, verticals? Any details around that would be helpful.
David Mackey: Sure. So I can take that, Mayank. Obviously, as both Keshav and Gautam alluded to, we’re pretty excited about the fact that what we’ve seen is deal size is expanding, right? We were seeing more and more clients looking to move the needle in terms of digital transformation and kind of end-to-end services and solutions. Again, kind of similar to what we’ve seen in the past, good diversification across verticals and geographies in terms of where it’s coming from. So this last quarter, we’ve got representation in terms of new logos from high-tech and professional services, from insurance, from travel, from health care, from manufacturing and retail. So again, kind of similar to what you'll see when you look at the revenue momentum in the business, when you look at the overall pipeline of the business, extremely strong and extremely broad-based.
Operator: Our next question comes from Ashwin Shirvaikar with Citi.
Ashwin Shirvaikar: Good to hear from you all. Good results. Yes, my first question is, from a modeling perspective, can you kind of walk through 3Q versus 4Q? Normally, there’s sequential growth each quarter but you mentioned the Healthcare client stepped down. I’m sorry if I didn’t hear the impact of that. And then it’s good to see new client adds and ramps but could you also comment on what volume sensitivity you might have in sort of the base of revenues that can be potentially affected by the longer-term recession as you mentioned, Keshav?
Sanjay Puria: So let me take that. Sequentially, when you, Ashwin, talk about quarter 3 to quarter 4, specifically here from an overall Healthcare process. So a couple of things impacting. One is the large Healthcare process we spoke about as well as FX headwind, that is the second which is overall impacting. But having said that, right now, based on our 98% midpoint visibility, those numbers are there and we have not factored short-term revenue as well as the travel recovery and there is the range over there where there's an opportunity from an upside perspective. So overall, as Keshav alluded, very healthy [indiscernible]. We are being in multiple larger is a -- at a very late stage. So those are also opportunities over there. Volumes, right now, seem to be intact other than just one of that Healthcare process. In fact, as Gautam alluded, clients are, in fact, looking for much closure, faster closure of the deal and in fact, faster transition. So those are some of the activities what we are seeing. And as we move forward, we'll keep an update about that.
David Mackey: Yes. And let me just add a little bit of color to Sanjay’s comments, I think when we look at the seasonality, the expectation right now for fiscal Q3 is that the revenues are going to be relatively flat versus fiscal Q2. I think as Sanjay mentioned, when you look at what’s included in that guidance, obviously, 98% visibility. So it’s largely locked at this point. No short-term revenue, no pickup in travel assumed in there. So we should have opportunities. But in terms of the guidance right now, the expectation is flat in Q3. And then the biggest thing that we have there in terms of the reason for that flatness though is the optics around FX. With respect to Q4, we do have a dip from Q3 to Q4 on the revenue line because of this Healthcare process that we’ve lost. But other than that, the overall business momentum remains healthy. So I think it’s important to understand that. Relative to the volume sensitivity, I think as we’ve spoken about before, the biggest place we’re going to see that volatility is on the CX, on the customer support side, where there’s a more direct one-to-one relationship between volumes or activity levels potentially and the client. But it’s also important to understand that some of those volumes may or may not have direct implications with what’s going on with the macro. So for example, if you look in the U.K. and our utilities business, while there may be challenges with the macro, when you look at the U.K., for example, we can actually see increased activity levels because of the price of gas and electricity, because of rolling blackouts, things like that. So activity levels in that vertical could actually go up as a result of a weakened macro. Then we have other businesses like insurance, where there is very little correlation between macro and overall activity levels, things like claims. So I think the exposure that we’re going to see is going to be in the CX business which is 20% of our overall revenue. But more specifically, in the CX business, where a weakened macro has a direct impact on the volumes that we see and that will limit, I think, some of that exposure.
Keshav Murugesh: So, Ashwin, I just want to also -- I also want to mention that I think both Sanjay and Dave very elegantly answered this whole thing. But I just want to spend a little more time on the overall long-term macro. We actually believe that if this prediction actually comes true, it will actually be positive for our business. And obviously, one part of our business is more sensitive and we will work on that part. The rest, if you look at, the way WNS has transitioned its business model over the last several years based on it's investments, we are far more resilient in terms of being able to manage all of it, one. Second thing is clients are smart as well. They understand which companies to bet on when they are facing this kind of uncertainty. So I just want to add another element. In fact, we're seeing -- I mentioned earlier that our salespeople are extremely busy, right? And I expect that to continue for the foreseeable future. Because among other things, as clients and prospects look at potentially this so-called recession, there are new potentials of revenue coming in, including the takeout of captives, right? A number of them are also saying, if this is going to happen, maybe I should be focused on my core business as opposed to trying to run a captive in a business that maybe WNS should be running better for me. Now those are the kind of additional conversations that are actually happening that we actually think will also be very, very positive for us in addition to the traditional impact that our salespeople are having on the ground.
Ashwin Shirvaikar: Understood. And then on the cost side, as I sort of think longer term, this year. Would you call this year bit more of a transition year because you had multiple bad guys like wage inflation, return to office costs, higher attrition and so on? And longer term, should mix and productivity contribute to higher margins get back to the 22%, 23% level?
David Mackey: Yes. Let me take that, Ashwin. So I think we've been pretty consistent in saying that in this overall environment, we're going to run a low 20s operating margin business. And if the stars line up, we could be at 22%, if they go against us, we could be at 20%. And obviously, if you look at the operating margin guidance for this year, what's assumed, we're spot between 21% and 22%. So I think despite these pressures that you've rightly called out in terms of return to office in terms of outsized wage increases given the demand environment and given the access to talent challenges, yes, there's some pressure here. But when we look forward, I think the real opportunity for the sector as a whole is this ongoing shift towards digitization. I think it's the ongoing shift towards non-FTE models. And if we do see margin lift in our business, then we believe it's certainly a possibility. It will be as a result of clients willing to move to these kind of higher-end, higher-value transformational business models and away from the traditional FTE-led type of business model. So we know if we can move a client to a model where we're getting paid based on outcomes that we deliver and we have the ability to change and transform how that process runs, it's typically merge and accretive to us. The real challenge is getting clients comfortable enough with outsourcing things that are core and mission-critical to them that they're willing to give up control of those processes. And I think as the industry evolves and matures and clients become more comfortable with our ability to deliver that, you're going to see that transition. But in terms of our ability to drive that, we don't have that, right? So I do think if we were to look out 5 years, I wouldn't be surprised if we were talking about this business as a mid-teens margin business versus a low -- I'm sorry, a mid-20s margin business versus the low-20s margin business. The same way we used to talk about this business is a high teens margin business and now we talk about it as low 20s.
Ashwin Shirvaikar: Understood. So mix remains an opportunity. That's good to know.
David Mackey: Absolutely. Longer term and very limited control on our part. But yes, we think directionally, that’s where the industry is headed.
Operator: Our next question comes from Nate Stassen [ph] with Deutsche Bank.
Unidentified Analyst: Congrats on the results today. First question, I just wanted to ask on how the Vuram integration is going today versus your prior expectations. So what are you seeing from a project standpoint? What cross-sell opportunities are you seeing? And just any color that you can provide would be great. And then just clarifying, though, Vuram added 3 points to growth this quarter but in the guidance, you're still only assuming 2-point contribution to top line. So just wondering the difference between those 2 numbers. Anything you could give would be great.
Sanjay Puria: From a Vuram perspective, the acquisition is growing better than planned is what I would state at the moment. The Vuram acquisition has given us the capability to actually drive deep in terms of our ability to manage better productivity for our client which is where the demand comes in, bring about greater digital interventions to our client needs. So the depth that they have provided to us is allowing us to effectively, not just cross-sell within our existing client but to drive aggressive digital solutions within our prospects also. So that’s one of the core reasons over the last quarter also, we have seen the accelerated pipeline and closure rates that we see. Culturally, the team is very similar to the WNS way of working which is co-create with our client-led solutions. So that’s another area where we have seen a big plus. And financially, the acquisition has been accretive to the WNS growth rate and the margin level.
Keshav Murugesh: And maybe I'll just add over there from overall Vuram perspective, goes at 2%, what we have spoken from a guidance perspective but definitely, as Gautam was talking about a cross-sell and the opportunities that drive -- helping us to drive the organic growth from the company, including some of the productivity that we can drive with our existing clients. And despite those wage pressures and the attrition what we spoke about, these are some of the things which are helping us to drive our margin.
David Mackey: Yes. And just to your question about the percentages, Nate. We took over Vuram effectively July 1. So when you look Q2 -- I'm sorry, fiscal Q1 to fiscal Q2, you have a full quarter of impact which is 3%. When you look year-over-year, obviously, we also have the same 3% which is what you'll see in Q3 and Q4 as well. The reason the full year impact is only 2% is because you only have 3/4 of a year of Vuram.
Unidentified Analyst: Got it. Very, very helpful. And then just my follow-up. So obviously, travel and leisure growth still looking very strong despite the comp getting a little tougher this quarter. So maybe you can talk a little bit about how business travel is trending? And sort of how far away from pre-pandemic levels travel is? And if there's still upside to numbers? I think previously, you had talked about 2% upside to revenues if travel returned to historical levels. So just wondering where we're at versus pre-pandemic and if that upside still stands?
Gautam Barai: I think we’re still slightly short to the pre-pandemic levels, especially on the business side of the channel. And what we’re starting to see is, whilst, in Q2, we had a few clients increase their commitments to us which has been forecasted over the next few quarters for us, the exciting part within the travel sector is, the growth that we have had is not just across existing clients in terms of volumes but the new clients that we have added are across multiple sectors, i.e., airport management, cargo as well as hospitality. And what’s even more exciting is, we have been able to win business across the higher end of our delivery ecosystem which is across finance and accounting, core operations and the analytics side of the business. So where we see is we are extremely enthused with the growth of our travel business and we have continued to be extremely optimistic that this will be on our upward trajectory.
David Mackey: Yes. And just to give a little more color to that, Nate. We had previously talked about a 2% recovery opportunity which was about $5 million a quarter. We did have about $1 million of pickup in fiscal Q2 from travel volumes. So we still look at that recovery opportunity as being about $4 million a quarter or just under 2%. So yes, we did get some back which is great to see but there does remain a travel recovery opportunity going forward.
Operator: Our next question comes from David Koning with Baird.
David Koning: Nice job. And maybe my first question, research and analytics, I know it’s not very big, 10% of revenue. It was down 11% sequentially after 5 quarters of sequential growth. And just wondering, anything to that specifically? I mean maybe that’s a little more macro sensitive than the other pieces of the business.
Sanjay Puria: Yes. So from a research and analytics perspective, there was a reduction from a Healthcare client, specifically on the life sciences side. And this was, again, a very disciplined approach to not continue with a low-margin account. And that's not only impacted from a research analytics but you will see from a metrics perspective on the Healthcare segment as well as the UCare segment, RFP. It was around that. Having said that, it was a known brand count and was part of our guidance, why date earlier on that.
David Koning: Got you. So that was the – yes, the Healthcare client what hit that segment. Would have that been up sequentially without that headwind in the quarter?
Sanjay Puria: Yes, yes.
David Koning: Okay. And then just the follow-up question. Anything with interest income or expense going forward, just given all the moves in rates and everything? Or is the rate that we saw this quarter, I think $4 million of -- $4 million expense, $3 million of income, is that pretty sustainable going forward?
Sanjay Puria: Yes. At this stage, definitely, it's having all of the parameters remained safe. It's pretty sustainable and that's already factored on the debt what we have taken for general marker purpose which is going to have an impact of almost 4% as an average which already has been bringing some spike of the interest rate what they expect.
David Mackey: Yes. So yes, exactly, Dave. We expect interest income will run around $3 million per quarter for the back half of the year and interest expense probably close to $4 million per quarter.
Operator: [Operator Instructions] Our next question comes from Vincent Colicchio with Barrington Research.
Vincent Colicchio: Nice quarter, guys. Keshav, if I'm curious, how do you feel about your ability to add scope to your top 5 and top 10 as an offset to potential volume weakness if we get into a recession?
Keshav Murugesh: So, Vince, great question. First and foremost, I actually think that potential weakness that you're talking about is positive for WNS. And based on all the conversations we are having with prospects, we're already seeing people just assuming that something will happen and therefore, it's helping us because they're starting to take decisions, as Gautam said, in some cases, faster than what we expected. That's one. The same pressures hold good for our existing clients as well, right? Because none of them want to be caught unprepared if certain things happen. And nobody really realizes or knows for sure, it is happening or not. But at the same time, this time, everyone is working on the basis that something is going to happen and that the street knows more about this potential recession and therefore, all of them are actually having elevated conversations with us. And I can tell you -- I think a lot of it is also with who they're having this conversation. At this point in time, I think a lot of these clients are focused on working very proactively with partners who have made the investments over the years in areas that makes sense to them and therefore, are helping them in terms of taking some of their fixed costs out, making it more variable and preparing them for a new environment where they could depend on us for managing this new environment. So actually, we feel very, very positive about it. But I just want to clarify that even on the -- even in the case that there's a change in the overall macros, we actually think it's positive for our sector and for WNS in particular.
Vincent Colicchio: And as far as the follow-up, if I remember correctly, you have a very high percentage of [indiscernible] adjustments in your contracts. For those where you don't have those adjustments, I'm curious, has there been any pushback on pricing?
Sanjay Puria: So from a steep, we have the school adjustments into the contract. That's a pretty standard what we go with. From an overall pricing pressure, I don't think there is any pricing pressure. The discussions generally mostly happen from a total cost of ownership reduction rather than the FTE rates or the pricing. And that is -- when we co-create the solution, that's always driven through the productivity, on automation on the transformation as well as the recent acquisition of the Vuram, those are some of the things which is going to help from drive and achieve those clients, the total cost reduction.
David Mackey: Yes, it's very rare that we have pricing discussions with our clients. Now there's this constant pressure and it's baked into our business every year, there's this content pressure for productivity, right? It's part of what we sell to clients is our ability to manage their processes better. And certainly, if what's driving a client to want to reduce cost, it is the macro environment, then in those cases, what we can do is we can always have a conversation with the client about how to leverage technology, automation, process expertise to be able to deliver those benefits. But to have a conversation about, "Hey, you're charging us $10 an hour for someone, we want you to charge 9." That's not a conversation that we're having.
Vincent Colicchio: Congrats on the quarter.
David Mackey: Thanks, Vince.
Operator: At this time, we have no further questions in the queue of conference call. Thank you for your participation. You may now disconnect. Everyone, have a great day.